Operator: Good day, ladies and gentlemen, and welcome to the Archer Daniels Midland Fourth Quarter Earnings Conference Call. My name Chantalle [ph] (2:42), and I will be your facilitator for today's call. [Operator Instructions] I would now like to turn the presentation over to your host for today's call, Mr. Dwight Grimestad, Vice President of Investor Relations. Please proceed.
Dwight Grimestad: Thank you, Chantalle [ph] (3:11). Good morning, and welcome to ADM's Fourth Quarter Earnings Conference Call. Before we begin, I would like to remind you that we are webcasting this presentation on our website, adm.com. The replay will also be available at that address. For those following the presentation, please turn to Slide 2, the company's Safe Harbor statement, which says that some of our comments constitute forward-looking statements that reflect management's current views and estimates of future economic circumstances, industry conditions, company performance and financial results. Statements are based on many assumptions and factors, including availability and prices of raw materials, market conditions, operating efficiencies, access to capital and actions of government. Any changes in such assumptions or factors could produce significantly different results. To the extent permitted under applicable law, the company assumes no obligation to update any forward-looking statements as a result of new information or future events. Slide 3 lists the matters we will discuss in our conference call today, and I will now turn the call over to our Chairman and Chief Executive Officer, Pat Woertz.
Patricia Woertz: Thank you, Dwight, and good morning, everyone. Thank you for joining us on the call today. As you turn to Slide 4, as I usually do, I'll begin with safety. As we closed out our fiscal 2010, we reduced our lost work day injury rate by 26% and our total recordable injury rate by 9% compared to 2009. I would like to thank ADM colleagues and contractors alike for your efforts and commitment to improve safety. Turning to our financial results. The ADM team finished strong, capping a very good year with very good fourth quarter performance. This morning, we reported annual net earnings of $1.9 billion or $3 per share and quarterly net earnings of $446 million or $0.69 per share. Our large projects are nearly finished. We have started up our dry ethanol mill in Cedar Rapids, Iowa, which should be fully operational by the end of this month. And we are moving toward completion of our propylene glycol plant in Decatur, Illinois, though we've slowed the pace as we work through some start-up issues. We expect this plant to be fully operational in the fourth quarter of this calendar year. As we begin our new fiscal year, we commit to use our strong balance sheet and cash flow to deliver shareholder value. In the past, we've discussed with you our strategy to expand the volume and scope of our core model. Now as we start the year, I want to give you a clear sense of how and where we intend to grow over the next five years. I plan to provide some detail each quarter, so let me start this quarter with Global Oilseeds. We will grow crush volumes over the next five years at a compound annual growth rate of 7% to 10%. This is about double the predicted market growth, and we will achieve this through both organic growth and acquisitions. For that goal, we have begun construction of a soybean crush plant in the port city of Villeta, Paraguay. The plant will have a capacity of 3,300 metric tons per day and is targeted to be operational in 2012. This plant adds more than 25% to our South American crush capacity, and we'll provide more information on this project in an announcement later today. In future quarters, we'll detail how and where we intend to grow Ag Services, Corn and Sugar. Using our strong balance sheet and cash flow to generate shareholder value demands a strong capital allocation process and a pipeline of good projects. We have built that process, and we continue to fill that pipeline. We will invest in projects that, when fully integrated into our business, enable us to meet or exceed company return rates of 2% over our weighted average cost of capital. As you may know, we have a substantial authorization for share buybacks. We have recently spoken with the rating agencies and have regained some flexibility for share repurchase. We did buy back $100 million of shares in the fourth quarter. Going forward, as we look at uses of cash flow, share repurchase is now among our options. Our performance this quarter again demonstrates the success of ADM's ongoing balanced business model, and the substantial growth objectives we've set focus our energy and our investment for the future. As we deliver on these objectives, we will make ADM an even stronger company, better able to serve the world's growing demand for agriculture. I'll turn the call now over to Steve, who will review our segment results for the quarter.
Steven Mills: Thanks, Pat, and good morning, everyone. You turn to Slide 5, please. Slide 5 lists our financial highlights for the quarter and for the fiscal year. Overall, financial results rebounded strongly this quarter from the depressed levels of a year ago when we were feeling the impacts of the weak global economy. Segment operating profit was $799 million, up $591 million from a year ago. And in a moment, I'll review these results on a segment-by-segment basis. Quarterly net earnings were $446 million, up $388 million from last year's fourth quarter, and earnings per share were $0.69 compared to last year's EPS of $0.09. Looking at our effective income tax rate, you'll note that our full year rate came in at just under 26%, mainly due to a slightly more favorable final geographic mix of earnings than we had been forecasting. Finalizing this full year rate then resulted in a tax rate for the quarter of about 19%. And as a reminder, last year's income taxes for the quarter and year included charges of $61 million and $158 million, respectively, related to changes in the holding company structure of our equity investee, Wilmar International Limited. As we look forward to fiscal year 2011, we're estimating at this time a tax rate of about 28%. As you can see from the waterfall chart for the quarter, on the bottom left of the page, we've called out a couple of items. LIFO had a negative impact this quarter of $15 million after tax or approximately $0.02 per share due to rising commodity prices. And with the start-up of our new plants being so significant in fiscal year 2010, we thought it would be useful to call these costs out for you. We incurred start-up costs this quarter of $24 million after tax or $0.04 per share, relating mostly to our new Cedar Rapids dry mill, our PHA facility and our Brazilian sugarcane ethanol operations. And you can see the full fiscal year start-up costs on the right-hand side of the page. Slide 6 shows the quarter and fiscal year summary of our operating profit by segment. You'll note that for the quarter, each of our segments showed an increase in operating profit. Let's now turn to Slide 7 to begin a review of each segment in greater detail. We'll start with Oilseeds Processing. Oilseeds operating profit was $359 million, up from last year's fourth quarter operating profit of $227 million. Crushing & Origination results increased $77 million to $218 million for the quarter. Year-over-year crushing volumes increased in the quarter with decreased North American volumes more than offset by increases in South America and Europe. Good positioning favorably impacted our North American and European soybean and softseed crushing margins. Refining, Packaging, Biodiesel & Other results increased $58 million to $79 million for the quarter. Recently expanded biodiesel production capacity at Rondonopolis, Brazil, allowed ADM to capture good margins and volumes amidst strong demand. And last year's quarter also included charges related to the formation of our Stratas Foods packaged oil joint venture. Asia results of $62 million for the quarter reflect continued strong performance of our equity investee, Wilmar International Limited. For crop update, the projected soybean carryout for crop year 2010/'11 is 360 million bushels. July 9 USDA Planting Intentions report show that U.S. farmers planted 78.9 million acres of soybeans in 2010, up from the 77.5 million acres planted in 2009. The crop is progressing well, and with good August weather, we would expect a large U.S. harvest this fall. This year's South American soybean crop was a record 134 million metric tons, up 37 million metric tons from last year's harvest. The Canadian canola crop is projected to decline from 12.6 million metric tons to 10.3 million metric tons but looks as if the canola supply will be tight. And the European rapeseed crop is projected to decline from 21.6 million metric tons to 19.3 million metric tons. Looking at current market conditions. As the South American soy crushing industry runs hard to process a record crop, North American soy crushing has slowed. At the same time, the South American farmer has been a reluctant seller, which has put pressure on crush margins. We see growing long-term demand for protein meal but short-term excess processing capacity is resulting in softer crush margins. Global protein meal demand is projected to grow by 5% for the 2010/'11 crop year, up from a 3% growth rate in the '09/'10 crop year. The projected increase in demand is driven primarily by Asia, although growth is expected in all regions. Without a blending credit in place, the U.S. biodiesel industry is essentially shut down, resulting in high soybean oil inventories. We have seen some vegetable oil exports from the U.S. Biodiesel demand in South America and Europe is growing, driven by increasing mandates. Moving to Corn Processing on Slide 8. For the quarter, Corn Processing results increased $151 million to a profit of $140 million on stronger BioProducts performance that was partially offset by weaker results from Sweeteners & Starches. Sweeteners & Starches operating profit decreased $30 million from the prior year to $119 million. This decrease reflects lower average selling prices that were only partially offset by lower net corn costs. Sales volumes, however, were up due to strong export demand. BioProducts profit in the quarter was up significantly from last year's loss due to better margins for both ethanol and lysine. And in the quarter, BioProducts recorded $37 million in costs related to the start-up of our new plants, and for the 12 months, BioProducts reflected $107 million in start-up costs. Current crop conditions. The USDA Planting Intentions report on July 9 showed that U.S. farmers planted 87.9 million acres of corn in 2010, up from 86.5 million acres in 2009. This crop was planted early, and we've seen favorable weather conditions. The projected carryout is 1.4 billion bushels for crop year 2010/'11. Looking at current market conditions, ethanol spot prices are $0.40 to $0.60 below unleaded gasoline, and with the $0.45 per gallon tax credit, the blender has a significant incentive to buy additional gallons. This $0.45 tax credit is in place through the end of the year, and like other tax provisions, Congress is considering how to extend it. We are seeing some discretionary blending above the levels required by the RFS, but the 10% blend restriction is limiting incremental blending, resulting in excess supply and a challenging margin environment. The EPA is reviewing a request to allow gasoline blends up to E15, which will likely apply only to certain vehicle model years. Our technical team has met with the EPA and provided our analysis of publicly available data in support of blends up to E12 for all cars. Demand for lysine and for corn sweeteners has been strong, and we're running our corn wet milling assets hard. In corn sweeteners, we expect industry exports, primarily to Mexico, to be close to 1.4 million metric tons this calendar year. And that's up over 700,000 tons from last calendar year. Let's now turn to Slide 9 and review the operating performance of our Agricultural Services business segment. Ag Services results were $178 million, up $195 million from last year's fourth quarter loss. During the quarter, we saw a good global supply of grains and oilseeds and modestly improving demand, especially from Asia. Merchandising & Handling profit improved significantly over last year's numbers, due principally to more favorable risk management results. And earnings from our Transportation operations decline on lower barge freight rates and higher fuel costs. As we look at current market conditions, the USDA is projecting near record U.S. corn and soybean crops, and we are preparing our facilities and transportation assets for a large harvest this fall. And we are certainly monitoring changing global crop conditions. Slide 10. Slide 10 is an operating profit analysis of our other business units. Overall profit was $122 million this quarter, up $113 million from a year ago. Our Other Processing businesses were up $108 million, reflecting improved results of our cocoa and flour milling operations and from our equity investee, Gruma. Other Processing earnings for the quarter include mark-to-market gains of $63 million related to certain forward sales commitments accounted for as derivatives. Other financial results increased $5 million due primarily to the absence of losses experienced last year in our managed fund investments. Current market conditions. Flour production is pretty well balanced in wheat milling, and the North American wheat supply is ample. Cocoa and chocolate demand has improved, although low industry utilization has kept pressure on margins. And the cocoa bean supply should be sufficient to meet demand. Turning to Slide 11, which shows the major components of our corporate line. Changes in our LIFO inventory reserves due to rising commodity prices generated a charge of $23 million this quarter compared to a year-ago LIFO charge of $54 million. The most significant item in corporate for the quarter is the $59 million unrealized loss on interest rate swaps that we entered into, to lock in the interest rate for a portion of the $1.75 billion remarketing of debentures plan for calendar year 2011. Since this loss is unrealized, it will fluctuate with interest rates until we issue this debt. If 30-year rates go up from the June 30 levels, we will show gains on this swap. Turning to Slide 12. Slide 12 shifts to the financial statement view and shows our statement of earnings highlights for the quarter and 12 months. Net sales and other operating income decreased 5% for the quarter to $15.7 billion as average selling prices were lower this year, partially offset by higher sales volumes in the Corn and Oilseed segments. Gross profit increased $565 million this quarter, mostly due to improved results across all segments. Our SG&A expenses increased 3% to $331 million for the quarter. Other income and expense was a $45 million expense this year compared to $13 million of income in the prior year's quarter. The current quarter results include the $59 million unrealized loss on the interest rate swaps, higher interest expense as we are capitalizing less interest on our construction projects and higher non-controlling interest eliminations. Partially offsetting these charges were improved results of our equity affiliates. And I did cover the income tax changes earlier on in the call. On Slide 13, we're comparing selected balance sheet highlights at June 30 against our June 30, '09 balance sheet. Our cash balances of $1.4 billion are comparable to last year's numbers. Property plant and equipment, net of depreciation, has increased as our new Greenfield projects have been completed or are near completion. Operating working capital has decreased approximately $500 million due principally to lower receivables balance. Total debt is down. We have no commercial paper outstanding, and shareholders’ equity grew by about $1 billion during fiscal year 2010. Slide 14. Slide 14 shows us significant items impacting our cash flows for the 12 months. Cash generated from operations before the impact of changes in working capital is up $500 million this year to $2.7 billion, mainly due to the increase in current-year earnings and higher depreciation and amortization expense. As I mentioned, year-over-year changes in working capital were essentially flat. CapEx and acquisitions were about $1.7 billion, down from last year as the pace of spending at our large Greenfield projects has slowed as we near completion of the program. We anticipate capital expenditures in fiscal year 2011 to be approximately $1 billion excluding acquisitions. We did use some of the strong cash flows to buy back $100 million of our common stock in the fourth quarter, and as Pat mentioned, we have regained some flexibility from the rating agencies to buy additional shares back. In summary, our financial position and key operating cash flows remain strong. While remaining focused on maintaining a strong balance sheet and financial flexibility, we are positioned very well to pursue strategic opportunities to deliver shareholder value. Turning to Slide 15. Slide 15 provides an update of our recent financial performance using various financial measures. Trailing four-quarter Return On Invested Capital, ROIC, was 9.7%, shown here as the yellow line on the chart. And our trailing four-quarter Return On Net Assets, RONA, shown as the green line on the chart, was 12%. And as you can see, our rolling average ROIC shows the same general trend as RONA. We believe ROIC is a more transparent measure, and it is more easily calculated, and it can be more easily used to compare our returns to other companies as well as against our cost of capital. And as we turn to Slide 16, where we're comparing our historical four-quarter trailing ROIC against our weighted average cost of capital, you can see our returns have typically been well above WACC as we generate shareholder value across our business model. As Pat mentioned, we expect our ROIC to be at least our weighted average cost of capital plus 2% as it did this fiscal year. Going forward, we will be reporting on ROIC relative to WACC and updating this chart quarterly. I've included in the Appendix five years’ worth of ROIC calculations. But at this time, I'll turn the call back over to Pat, and we'll be glad to take your questions.
Patricia Woertz: Thank you very much, Steve. John Rice will join Steve and me for the Q&A. So operator, if you’ll please open the line for questions.
Operator: [Operator Instructions] And your first question comes from the line of David Driscoll of Citi Investment Research.
David Driscoll - Citigroup Inc: Pat, wanted just to start off with just the big picture question here on Oilseeds. Obviously, we saw a fairly different result at one of your key competitors last week. And I just wanted to ask whether or not the basis issue that seems to have affected that company would in any way affect you in any future periods or if it was just simply ADM was positioned differently, thus the different results. So can you make some comments to perhaps alleviate some fears out there about what may or may not happen going forward?
Patricia Woertz: Well, I'll start, and then maybe I'll ask John to comment as well. We can't comment about our competitor's business, but we can say that our ADM team looks holistically at our business. And from a risk position, I think we take a very conservative yet smart view of the markets. And going forward, I think you heard our views about crop conditions and market update. And I think there’s a good story here to tell about both our balanced view of it as well as our geographic look at it. John?
John Rice: I would just add to what Pat said. Don't really pay a lot of attention to what our competitors are doing in the market. We really manage our own book. But there's a lot of things, David, as you well know, that go into processing margins. It can be bean basis. It can be the long beans to meal. It can be long oil to meal, beans to oil and everything else. So there's a lot of moving parts in that and just to be able to pick out one part just gets a little bit tougher. I think our group and our team managed through this last quarter's market and for the year very well.
David Driscoll - Citigroup Inc: Would say that the outlook going forward would be consistent with results generated this quarter?
John Rice: Well, we don't like to give forward guidance. But right now, as in Steve’s comments, we do see a fairly steady and growing world protein demand. Now the North American Oilseed operations are running slower than the rest of the world, and also we have increased capacity coming on in Canada. And as you well know, conditions are constantly changing and what the August weather's going to do, what the corn harvest comes out and then also how the soybean harvest comes out here in September.
David Driscoll - Citigroup Inc: Okay. Those comments sound a bit cautious relative to where we've seen the last few quarters of excellent profitability in Oilseeds. Hopefully, I'm taking you right. Just wanted one more question on the balance sheet. You made comments, Steve, about the increased flexibility to do share repurchase. Can you quantify this for us in anyway? And I apologize if you said it, but I missed the number on readily marketable inventories. Can you give us that number? And then comment on the balance sheet and your ability to take on new debt.
Steven Mills: The first one is, we didn't give you readily mark [marketable]. I'll get to these maybe in no particular order. The readily marketable inventories, I didn't give you the readily marketable. The total inventories were about $7.7 billion at June 30. From a flexibility perspective, that's exactly what we have. We have flexibility within our current ratings to buy some shares back. We're going to do that in an opportunistic way, and we're going to do it in a way that maintains that credit rating that we have. So that share buyback opportunity is going to be in the mix with our acquisition program and CapEx program. So we're not going to lay out the exact number, but it's going to be a number that certainly fits within our current credit rating.
David Driscoll - Citigroup Inc: I suppose what I was trying to draw the idea was that if net debt, total debt minus cash, is $6.5 billion, and if readily marketable inventories, I think last quarter, was over $5.5 billion, if you treat readily marketables as a cash equivalent, then it would put ADM's balance sheet at one of the lowest levered multiples that I have seen in a very long time. So I think, quite frankly, maybe some people wouldn't understand that you're being very understated when you say that you have flexibility, thus the question goes right to the heart of the share repurchase. It would feel like you should have significant capacity to do share repurchase, but your comments would maybe seem a bit more tempered than that. So I was simply trying to draw out a little bit more.
Steven Mills: Well, I think there's two points. First of all, readily marketable inventories are just that. We do use them to market and make profit. So as they're considered in our rating, it has a little different feel than just cash and other financial flexibility. And as you're well aware of and as we've demonstrated in the past, we do like to have a little bit in end reserve just in the case of volatility in the commodity market. So we do have more flexibility. We continue to have ongoing conversations with the rating agencies, and we're just pleased to have that lever of share buyback in the arsenal.
Operator: Your next question comes from the line of Mr. John Roberts of Buckingham Research.
John Roberts - Buckingham Research Associations: Could you provide a little more color on the EPA's evaluations going on? It sounds like you're expecting or at least they’re working on a split approval here for different years of cars?
Patricia Woertz: I'll start, John. As you know, they're reviewing a request to allow gasoline blends up to E15, which is likely to be only applicable to certain model years. While we support that, we're also concerned that any regulatory outcome that cannot be applied to all cars or might not be applicable to all cars will not be widely accepted. So we have formally requested that the EPA consider up to E12 in the context of its E15 waiver request so that you could use E12. They would be allowed for use in all vehicles. And we've studied the available technical data, and our technical team has provided our analysis to the EPA in support of blends up to E12 for all vehicle model years. And so we think we've shown the EPA. They have multiple options to punch through this blend wall, but I can't predict the outcome. So we're hopeful, but we'll see.
John Roberts - Buckingham Research Associations: And then, secondly, back on the -- you said you regained financial flexibility for share repurchase. Do you have to maybe buy back debt equal to equity? Or do you have any constraints like that? Maybe characterize what flexibility means.
Steven Mills: Flexibility means that I can buy back shares right now with my current balance sheet to a certain level. Once we get past that, then there's all the moving parts such as buying back debt, et cetera. So at this point in time, we have some flexibility to buy shares back as is.
Operator: Your next question comes from the line of Vincent Andrews of Morgan Stanley.
Vincent Andrews - Morgan Stanley: On your process volumes, can you remind me, Corn Processing, is that just the Sweeteners & Starches and BioProducts? Or does that encompass the corn component of Ag Services?
Steven Mills: It does not include the corn portion of Ag Services. That's the volumes of corn we're processing.
Vincent Andrews - Morgan Stanley: And the huge step-up in volume is just a function of the new ethanol plants that we saw both in the quarter and in the fiscal year?
Steven Mills: Yes, that's the majority of the change.
Vincent Andrews - Morgan Stanley: Okay. So there's no issue with crop quality or anything else that's driving more corn through the plants.
John Rice: We had a slight increase in the wet mill grinds that we try every year. But the majority, as Steve said, is through the dry mill.
Vincent Andrews - Morgan Stanley: Okay. And then maybe, Pat, I'll ask a follow-up on the ethanol issue. Everything I hear out of Washington on going to an E12 suggests that EPA would want to do their own testing. I understand that you're presenting the work that you guys and others have done. Is that sort of the response you've gotten from them as well?
Patricia Woertz: Well, they have asked the DOE for additional testing, which has taken some time. It's not complete as I understand it. So they've also asked if we had any additional data to provide it. So we used all the data of record and scoured more publicly available data and put that in a format with our analysis to support as well.
Vincent Andrews - Morgan Stanley: And do you have any insight from them as to why they're not sort of looking at it on their own or if this is something that they'll want to open up and do on their own in the future? I mean, was there a general receptivity to the idea?
Patricia Woertz: Well, the EPA staff and our technical staff and any time we've met, there's been receptivity to good science, good data, good discussion and analysis. So we'll see. We're hopeful.
Vincent Andrews - Morgan Stanley: Okay. And then maybe my last question will just be on what's going on with global wheat crops. Maybe, John, if you can just sort of give us -- compare and contrast what's taking place today relative to what took place sort of around the '07 timeframe. And how far away are we from getting sort of the Ag Services band back together and starting to see real a pickup and profitability in that business?
John Rice: Well, the difference between those two different time frames, and I want to quantify that as of today, since we have a lot of moving points right now, is we do have a bigger crop carryout when it comes to wheat and other oilseeds also, which should help with other blending opportunities. We come in Monday. The Russians are not going to export wheat. We come in today. The Russians are going to export wheat. So it's a constantly moving target. We're going to have to watch the weather. We're going to have to watch the Australian weather. That's going to be the next key crop. And then I think we're just going to have to see how the harvest comes to really get a determination on what kind of disruptions of any flows we'll see.
Vincent Andrews - Morgan Stanley: Okay. But is it fair to read from your comments that you're expecting to see some opportunities? You're just not sure the extent to what they're going to be based on the status quo.
John Rice: You just don't know. If there is a poor wheat crop, the world will have to come back to the United States for wheat exports as it did back in '07/'08.
Operator: Your next question comes from the line of Christine McCracken of Cleveland Research.
Michael Picken - CRC: This is Michael Picken in for Christine. Just continuing on the theme in terms of the global wheat supply situation. If in fact, we do end up seeing a reduced Russian wheat crop, and some of the other areas, Canada, also come in weak. What type of impact do you think that might have on corn exports? And how should we think about it sort of net-net if we do see an increase in U.S. corn exports, given that your Ethanol business and some other opportunities here in the U.S. are also reliant on that corn?
John Rice: Well, as the price of wheat, here in the last month, has raised a lot compared to the price of corn, you will see people switch from feed wheat into corn. And as prices come back down, so you could build a case that coming out of the United States, you could see more corn exports and more wheat exports.
Michael Picken - Cleveland Research Company: And then turning back to some of the ethanol policy issues that are out there, I mean, what is your opinion given kind of the current favorability of blending economics? I mean, if we see that blender tax credit expire at the end of this year, would you expect to see any sort of reduction in consumption, given the favorable blending economics? Or what is your view in terms of kind of industry-wide volumes if that blender credit were not extended?
John Rice: Well, currently in Steve comments, we're way below the mandate. So at that point in time, I would not anticipate any blending cutbacks with the refiners, but as you well know, this is always a moving target, it changes from, as the price of corn moves, as price of gasoline moves but at the current economics, it wouldn't change in my opinion.
Michael Picken - Cleveland Research Company: Two other policy questions. Have you heard anything regarding the extension on the Brazilian ethanol tariff? I mean, I've seen it included in several bills that are trying to do multiple things, but is it possible that we see that tariff extended on a stand-alone basis? And then finally, if you could give us any sort of update on California and what's happening out there.
John Rice: On the tariff itself, I think that could be separate than the blenders credit. Like we've said in the past, we're all for free trade, as long as everybody plays by the same rules, and that's our view on the import tariff, as long as other parts of the world will take or imports or our exports, I should say, then that's what our concern is on the import tariff. But I think that will be a separate issue than the blenders credit.
Patricia Woertz: And California, Michael, has, as you know, adopted a low carbon fuel standard, and it's to go into effect in January 2011, I believe. And they're talking about extending it a year. It set a high standard, but certainly you need to calculate the individual plant's carbon intensity score, and we believe that good science is part of that process. And I believe there's new studies from the same university studies they used the first time that revised the science, and so hopefully that will be part of the work going into the extension. So still stay tuned on the California Resources Board's work there.
Operator: Your next question comes from the line of Ken Zaslow of BMO Capital Markets.
Kenneth Zaslow - BMO Capital Markets U.S.: Pat, you said earlier in your remarks that you on a quarter-by-quarter basis, you're going to be telling us a little bit about your strategy. Is there a reason why you wouldn't want to tell us kind of all at once? What's the reason for the progression like that?
Patricia Woertz: Well, I think it's more the progression of the specificity of growth targets, Ken. So we've talked about our holistic strategy, and as you know, filling out the global footprint and what we're attempting to do in each segment, we've talked about in many of our conferences as well as presentations. I think the example with global oilseeds of the 7% to 10% growth and exceeding predicted market growth and having some information about specific projects that are used as sort of the backup and the clarification of that, I think lines up well when you have the projects to announce. So we're going to do that as they come forward, and it has more clarity for you, I think, and more specificity as you have more information.
Kenneth Zaslow - BMO Capital Markets U.S.: Are the current ethanol margins sequentially higher than the quarter? And do you have any more upfront costs to be had, to be incurred during the next couple quarters?
Steven Mills: I'll take the upfront costs and John can talk to you about the market. But we do have our Cedar Rapids plants up and running. It's not to full capacity yet, so we'll have some additional costs related to the Cedar Rapids plant. And as Pat mentioned, we're still working out some startup issues in our propylene, ethylene glycol plant, so we will have some. But I do expect certainly the pace of those costs to be dropping pretty significantly.
John Rice: And as far as the ethanol margins, with the price volatility we've seen here in corn, I'd still say they're not real profitable but at times you get plants that can run at a profit. But I think the whole issue still is we have about 14.6 billion gallons of capacity that would be ready to come online at the end of this year, and we're running at about 13 billion. So I'd call it close for a lot of plans, close to maybe a breakeven, depending on what the price of corn is any given day.
Kenneth Zaslow - BMO Capital Markets U.S.: I know this isn't the biggest of all your businesses, but wheat cocoa we always have a hard time kind of forecasting and getting hands around that. Can you tell us, and quarterly it goes all over the place, can you tell us kind of where you see this business going? Are we at a run rate, three of the last four quarters have been north of 100 and then prior to that, it was a like in the 50s to 80s on a quarterly run rate. Can you just tell us like where you kind of think this business should be doing? Are we above or below the typical run rate? So just kind of put some parameters around the Cocoa and Wheat business, if that would be possible.
Steven Mills: And just as you, we do have some difficulty predicting what the bottom line result will be for that segment because it is somewhat dependent on how markets close and how positions move. And as we point out in the description there that some of the results are impacted by some of these forward derivatives that we have and that, from an accounting perspective, have to bring to market. All that being said, as we pointed out here, we had a gain in this particular quarter that was higher than what I would call the market or the economics of the business. And we've tried to point those out when they got significant in the last couple of quarters. So to say that it's the run rate is not accurate. That's why we give you those numbers to try to help cushion that back and forth. So we have some of that in all of our divisions, that happens, we're calling it out in the other because it is so significant to that particular segment.
Kenneth Zaslow - BMO Capital Markets U.S.: Is the wheat environment improving? And is the cocoa environment improving? Or are they both kind of status quo?
Steven Mills: The wheat market, our Wheat business has had a very good year, and they continue to do well, again, subject to some of these same market conditions that all of us face. The Cocoa business has been improving, and as I pointed out, but it's still a tough operating environment in the cocoa side.
Operator: And your next question comes from the line of Diane Geissler of CLSA.
Diane Geissler - Credit Agricole Securities (USA) Inc.: When you reported your March results in the Corn Processing unit, you had talked about mark-to-market., and I think that at that time it was estimated that if you had not had the mark-to-market, you would have had an operating profit sort of similar to previous levels. Was there a flow back on that mark-to-market in this quarter? And if so, how much was it?
Steven Mills: The answer is there was a little bit of a flow back, but it's not have enough to mention.
Diane Geissler - Credit Agricole Securities (USA) Inc.: So if we look at the operating results in this quarter, that's a pure, for the most, operating number?
Steven Mills: That's fair.
Diane Geissler - Credit Agricole Securities (USA) Inc.: And when would we expect that mark-to-market then to flow back into the P&L?
Steven Mills: As I think I pointed out on the last conference call that some of that mark-to-market did come into this quarter, but you have to remember it's a position that is constantly moving. And then part of that flowed back to prior quarters, so it was a mixture of both. There was some hedge ineffectiveness in there, so we did bring the results of that position, a part of that, into the quarter. As I said, though, it just wasn't a significant impact.
Diane Geissler - Credit Agricole Securities (USA) Inc.: I guess what I'm asking is, for the next two quarters, should we expect to benefit leftover from the March quarter? Or is it wash away?
Steven Mills: No. There is nothing significant that's there going forward.
Diane Geissler - Credit Agricole Securities (USA) Inc.: And then on the plant that you're building in Paraguay, is that included in the billion dollar CapEx budget you gave? Or could you help us understand how much it will cost to build that facility?
Patricia Woertz: Well, we'll probably not give you the full cost, but yes, it is included, the amount of spending that we will make in 2011, Diane, is included in that rough $1 billion spending.
Diane Geissler - Credit Agricole Securities (USA) Inc.: And I would assume you'd have some spending in fiscal '12 for that plant as well? Is that correct?
Patricia Woertz: That's right. We expect to have it online in '12 so additional spending would move into '12, too.
Diane Geissler - Credit Agricole Securities (USA) Inc.: And then the remarketing of the debt securities, I think you said when you expected to do that, but could you just remind me? I missed that.
Steven Mills: That will be in 2011. I think it can actually be done over a period of time, and I have to look at it, but I believe it starts in March, between March to June that I've got that window.
Diane Geissler - Credit Agricole Securities (USA) Inc.: So the volatility on the interest rate swap will swing quarter-to-quarter between now and March of 2011 based on where interest rates are?
Steven Mills: That's correct.
Operator: Your next question comes from the line of Robert Moskow of Crédit Suisse.
Robert Moskow - Crédit Suisse AG: Pat, maybe you could take a step back and just help us understand the overall corporate strategy here. On one hand, you're saying that there's a lot of cash and that you're leaning towards buying back shares, but on the other, you're saying you're going to double the growth rate for Oilseeds Processing at a time when there's actually kind of a weak crop in Canada. And we already hear about some excess capacity sitting around in North America. And then we have the same kind of situation in ethanol where you're opening up a plant at a time when there's excess supply of ethanol. So are you trying to make kind of an aggressive stand here and saying that you're going to build while others are contracting? So maybe you can just kind of give a general comment about your market share kind of objectives here. Are you trying to take advantage of an environment where everyone else is kind of pulling back?
Patricia Woertz: Well, there's a couple of questions in there, Rob. So let me first start with we have very strong cash flows, cash from operations, as you know, and as we've wound down this organic capital spending, our cash will be very strong. When I talk about our strategy, it's an investment for the future. It's growing and it's growing over a five-year period. So as an example, the growth in global oilseeds is it's an annual compound annual growth rate of 7% to 10%, but it's over a five-year period. So yes, it's important to invest sometimes even when you're on a little bit of a down cycle or not, timing isn't always perfect, but sometimes timing can be very perfect relative to acquisitions and when things come online. So strong cash flow, good investment for the future, good opportunities. We've got to continue to look at the pipeline and be disciplined about those investments, but we feel good about our opportunities longer term.
Robert Moskow - Crédit Suisse AG: And then if I could drill down in oilseeds then, this plant in Paraguay, to what extent is that going to be contributing to the 7% to 10% estimate you're making? Is it half of that incremental growth rate? And then to what extent do you think you need to make acquisitions to hit that 7% to 10%?
Patricia Woertz: Well, I think to hit the 7% to 10%, it will be both organic and acquisitions. It represents about 25% of the South American crush and about 3 1/2% of total global crush. So it's a move, but it's not the whole piece, so we'll continue to build. We've talked about Eastern Europe. We've talked about South America. We continue to have India on our radar screen. So you'll hear more in the future as things are specific in those regions, but yes, we'll need more than just this plant, but it's part of the puzzle.
Robert Moskow - Crédit Suisse AG: And how aggressively are you pursuing acquisitions right now? Is there a big pipeline of perspective deals more so than there was a year ago?
Patricia Woertz: Well, I'd say that we have both process and deal flow has increased, and process is to allow both a capability internally that we have, as well as people on the ground and our evaluation process, etcetera, is a strong. And we continue to look and fill the pipeline with opportunities, obviously things not necessarily that we can talk about, but yes, we're improving that pipeline. I'd say there's more than there was a year ago, yes.
Operator: Your next question comes from the line of Christina McGlone of Deutsche Bank.
Christina McGlone - Deutsche Bank AG: Just following up on Rob's questioning. I mean, you talked about initial or term excess capacity in oilseeds globally. I think one of the reasons that the U.S. has excess capacity is because of your plant expansions that you've done. So I'm curious, how do you know that the market is going to be able to absorb the capacity you're adding in Paraguay and perhaps other places?
John Rice: Well, we feel that this plant is very well located, and it's really a long-term trend, like Pat was mentioning. Global demand will keep increasing as the population keeps increasing. We look for a 5% compound annual growth rate when it comes to that. So we're always looking at where we feel the best investment is, where these assets would fit into our offer global value chain and we're not going to hit every quarter right when the plant comes on but we still believe in the long term.
Patricia Woertz: Christina, I'd add, too, John's point, the soybean production in Paraguay has been growing. It's been growing at a double digit, I think 13% for the past 10 years. Our strategy has been to increase our origination and the logistics in the region. So building the plant is actually an important move and a continuation of that strategy. I think the market absolutely is both asking for the plant, and I think we'll have a good position there.
Christina McGlone - Deutsche Bank AG: And then, Pat, for E12, if it was applicable to all vehicles, you wouldn't have that liability in terms of splitting up the vehicle fleet, but would there be other that liability issues in terms of pumps in underground storage? Or do you think that if E12 were approved by the EPA, that immediately it would be adopted?
Patricia Woertz: Well, I think if it's applicable to all cars in the fleet, the issue of substance substantially similar comes into play, so it works through the gasoline pool in the same way as E10 does today. You don't need additional labeling, there's no additional issues related to pumps, infrastructure, etcetera, it merely flows through the system the way E10 does today. So that's the positive side of having any amount of ethanol in the entire fuel pool that there's not this bifurcation, so to speak in it . You asked how readily adoptable, I think eight out of 10 of our customers talk about blending economics, and I think they'd like to be blending beyond the current rates because the economics are there. So I believe it would be acceptable in the market as increases have been in the past.
Christina McGlone - Deutsche Bank AG: In terms of starting up Cedar Rapids, given the fact that corn does seem to be tighter in the U.S. than expected based on the last stocks report, are we looking at any sort of procurement issues or basic issues in the near term in order to get that plant up and running?
John Rice: We do not see it. The USDA is still calling for about a 1.4 billion bushel carryout this year and next, fairly close. The rough rule of thumb is any time it's over a billion bushels, there's plenty of stocks.
Operator: Your next question comes from the line of Bryan Spillane of Bank of America.
Bryan Spillane - BofA Merrill Lynch: Working capital was, I guess, slightly favorable or a slight benefit to cash flow this year. So if we're thinking about working capital in fiscal '11, can you just talk a bit about what some of the variables might be from where we stand today? And I guess the thing I'm thinking about more specifically is just given where crop prices have gone recently, is it going to be difficult, would working capital actually be a drag this year?
Steven Mills: As we look at it, the most significant factors, well certainly is price and the volatility in the price. So assuming that we carried the same quantities, we've got the price both in the inventory, as well as in the underlying receivables as we collect those. So that's always the biggest wildcard for us by far. I think the other interesting component is the quantities themselves. Of course, we're adding a bit more processing capacity in the company, but I don't believe that will significantly move the working capital per se. The question more likely is the phrase we use here is what is the market telling you to do with inventories. We see with some of these large crops, especially here in the U.S., we could have more peaks and valleys in the working capital as the harvest all comes at potentially at one time, and we could see more inventory quantities as the market conditions dictate. So it's a real wildcard, and that's one of the reasons we leave ourselves with as much flexibility in our balance sheet as possible. I mean the good news with that is that it always runs through a cycle, right? These commodities are purchased and processed in a period and it does flow through. So sitting here today, it's hard to predict, but we have both a price and a quantity question here.
Bryan Spillane - BofA Merrill Lynch: So is it fair to for us to assume that in the conversations that you all had with the rating agencies that they asked a question about some outlook on working capital, like the factor that they were thinking about in terms of the flexibility?
Steven Mills: Well, I think certainly, Bryan, and It goes back to the last couple of years and the reasons why they have been very conservative with us. They certainly have memories of 2008 when commodity prices went as high as they did, and that's factored into their thought process as they evaluate our credit, just as it goes through ours as well. So there's no question, that's part of their consideration.
Bryan Spillane - BofA Merrill Lynch: In terms of as you're thinking about decisions today to, I guess, build new facilities or make acquisitions, can you talk a little bit about today just construction costs? I'm assuming relative to what it was a few years ago when you started building ethanol facilities, construction costs maybe a little bit more favorable today than they were then. And if you could just think about it, that has been a factor in terms of sort of driving your decision in terms of build versus buy.
John Rice: Well, the reason we're building in Paraguay, as Pat mentioned, it's a growing area. We're building a fertilizer plant. It just really fits into our total infrastructure in Paraguay, but as you go around the world, we will be I would say probably more acquisitions than on the Greenfield sites. But we've been many places, we've talked to many people and we will decide what makes the most economic sense at the time. But to your other point, to your other question, has cost come down. It depends on the country and the unemployment situation. So it's kind of tough to just put a cart blanche statement out there on the cost. We've seen steel prices go up and down. So I'd say it's a little bit lower globally than the peak but not substantially.
Patricia Woertz: Maybe adding to John's point there, just a moment, Bryan, also it depends on, if you recall, we had quite a tight contractor workforce issue in the U.S. three years ago when we started these plants construction and that became a bit of a higher cost for us but that has subsided now.
Operator: Your next question comes from the line of Ann Gurkin of Davenport.
Ann Gurkin - Davenport & Company, LLC: Just wondering, trying to get a better understanding on the Ag Services segment and how we should look at volume with these record crops as we look out for that segment. It looks like this quarter benefited from the favorable risk management. Can you help me kind of understand how I should look at it going forward?
Steven Mills: I mean, I'll start here and then let John or Pat chime in. I think as we look at Ag Services, as we sit here today, we are anticipating near record U.S. corn and soybean crops. And here in the U.S. specifically, where we have a tremendous amount of storage and capacity, that should bode well for our handling and storage side of the business. That's in contrast to last year, even though we ended up with a large crop, it came over more ratably during the year, as well as much wetter. So there's always a different set of opportunities. We have seen good demand, which is really the driver of all in the end. We've seen good demand recently, and that's encouraging. And then the question that's the most hard to predict is how much volatility in the market and then where are you positioned relative to that volatility. I don't know, John, if you want to build on that at all?
John Rice: Well, to Steve's point, that we've been able to export soybeans out of the United States this summer, which a year, six months ago, I don't think many people would've thought would happen. And as we talked earlier, on the global wheat crop, what happens in Russia and Australia, that will have an effect on the exports of wheat out of the United States, and then also the relationship with the price of wheat to the price of corn, where we see more corn exports, plus how's the Chinese weather, I mean, with their corn crop. So there's still a lot of variables, but right now it looks like we should have a very good crop in the United States.
Ann Gurkin - Davenport & Company, LLC: And then picking up on the Chinese comment, how do you look at China in the global supply and demand picture? And can you help us walk through kind of your thought process?
John Rice: Well, their bean exports have been better than people have expected throughout the year, and they have been importing a little bit of corn. But no major, no big numbers, I should say. And I think it's going to depend on their crop size.
Operator: Your next question comes from the line of Ian of Rafferty Capital Markets.
Ian Horowitz - Soleil: Can you just talk a little bit, Pat, I guess, about the biodiesel tax credit issue? You said basically for the U.S., you're pretty much shut in now due to the lack of economics for blending. First of all, is this progressing at all? Do you see kind of an end to this for your North Dakota assets are going to come back and start producing to the income statement? And secondly, does this make you at all concerned about -- did the reluctance of putting the credit back on, does it make you at all concerned about the $0.045 blenders credit on the ethanol side?
Patricia Woertz: Well, I think as Steve said in his remarks, that without the blending credit in place, it's sort of the industry the U.S. biodiesel industry is essentially nonexistent. We have seen some vegetable oil exports from the U.S. There has been several discussions in Congress or members of the staff that have tried to put the extension in various bills, but with the discussions in Congress today, I guess it's find a bill to attach it to, which may be a similar situation for the ethanol tax extension upcoming here at year end. I think there's positive signs that people want to extend it. They understand in an overall energy policy that this is part of the mix and should be a strong part of the mix, but again, you need a bill to get it through. So more time, less to do the one on ethanol and perhaps the biodiesel credit could still be retroactively applied. Some are still discussing that.
Ian Horowitz - Soleil: And then the second part, is this a concern when you look out at the $0.45 ethanol credit and its expiration here at the end of the year?
Patricia Woertz: Well, I guess, as I said, depending on where Congress is, there's a discussion about the extension of the tax credit and finding the way to pay for it, so to speak and having it part of another bill. So there's always a concern when a tax credit is about to expire but I think there's good discussion, and I think those that are involved understand the issue and understand how many jobs are at stake and how much of the Ethanol business contributes to the world economies, etcetera. So I think there's very good understanding.
Ian Horowitz - Soleil: The South American farmers' reluctance to sell into the market, it seems to have caught a couple people by surprise this year, and I guess can we quantify a little bit to some degree how much of a surprise this was? How typical -- has this happened in the past? And kind of what can be done in future years to kind of hedge out this risk of reluctance to sell?
John Rice: Well, throughout the world, you'll have different scenarios and different timings in when farmers will sell the crops. It can be tax reasons, it can just be inverses in the markets, it can be different carries, it can be just transportation issues. And currencies can also come into play. So I don't think there's a real rule of thumb in how farmers sell their crop throughout the year. It's kind of a little bit of a moving target all the time. It's really more about how you position, how your make your sales, you have x amount of demand going on globally all the time and how you cover those positions. I guess I don't really know how else to answer that question.
Steven Mills: I'll just jump in a little bit. It's also dependent on how the farmers have done in the prior year, availability of credit, it's a long list of subjects. When I think about Brazil, specifically, the question of currency is a big one because soybeans are priced in dollars around the world, and that strengthening of the Brazilian currency just cuts into Brazilian farmers margins. So they're big farmers and many of them are big farmers and a part of it is their ability to hold the crops. Some can, some can't. So it all fits in their own risk management.
Patricia Woertz: And, Ian, I'll jump in here, too, Ian. We take a global view of this. ADM's risk management is a very global system where we consolidate daily, if you will, in one spot, in one view and share that view. And I think it helps to understand what's going on in lots of different markets, as well as what farmers are viewing in any particular region. And so I'd just say, it's part of our overall way we look at risk management.
Operator: [Operator Instructions] And your next question comes from the line of David Driscoll of Citigroup, Inc.
David Driscoll - Citigroup Inc: Steve, can you talk about acquisitions in F '11 just in terms of like a dollar figure that you would be comfortable in handling? Would $500 million to $1 billion in acquisitions be kind of a reasonable guess? Obviously, I know this is kind of a hypothetical, it depends if they actually if you can come to terms with them, but I'm just trying to get a sense of scale.
Steven Mills: Well, we certainly have that capacity to do that, and if we think about it and maybe even more than that, the pipeline easily supports that level of acquisition. It just depends how many are out there. So I don't think I have anything to add beyond that.
David Driscoll - Citigroup Inc: Can you comment on the depreciation and amortization for fiscal '11, given the new plants that you guys have completed and will complete?
Steven Mills: Well, yes, I can. I'm going to cheat here because I've got a piece of paper that helps me with the new plants. The deprecation and, again, it's a moving target, but we ought to be up $70 million or $80 million from last year, just thinking about the new projects year-over-year. I have to think about the rest of them, but we'll certainly be up on the cash flow.
David Driscoll - Citigroup Inc: Can you say what the increase in volumes was in the Starches and Sweetener units? And obviously the segment itself was up, the way you guys report the overall segment, it blends in both pieces. But I'm just curious, can you give us any sense as to what the increase was in volumes in starches and sweeteners?
John Rice: Well, I can tell you that we're running over fructose assets at full capacity and that we've actually slowed down our ethanol here in Decatur. I mean it's kind of a little bit of a moving target, but right now we're running our assets out.
Operator: Your next question comes from the line of Vincent Andrews of Morgan Stanley.
Vincent Andrews - Morgan Stanley: Pat, just a quick follow up on the E12, would a substantially similar ruling, would that automatically change the automobile warranty, which right now is 10% to 12%? Or does something else need to happen to incentivize the automobile manufacturers in that instance?
Patricia Woertz: Well, I don't know, I don't think there's an automatic to any liability issue, but I think there are, I can't speak for the auto manufacturers in total, but there are ones that support the E12 in the full carpool because they know their fleet is capable of it. So I can't comment about liability issues that I don't know.
Operator: Your next question comes from the line of Ken Zaslow of BMO Capital Markets.
Kenneth Zaslow - BMO Capital Markets U.S.: You said that your process for acquisitions has changed. Can you talk about what changes that you've made, when they took place?
Patricia Woertz: Well, we've been building trying to get better all the time, first of all, Ken, and I think we've expanded our team that includes those that both evaluate both on the ground in the business units, coordinated with our team at the center. Our evaluation process, our due diligence process, as well as we've added, we made an announcement this quarter on opening an office in Beijing. One of our strategy folks and business development executives will be leading that office and moving there. So there's been both a geographic and a capability increase in the overall process.
Kenneth Zaslow - BMO Capital Markets U.S.: Would you say the majority of it is done in terms of how much changes they've made? Or are you still evolving to a new level in terms of resources?
Patricia Woertz: Well, I think we'll always continue to evolve and get better. A quick example, we're doing look-back processes. John and his team have looked back at what we've spent on those capital projects, small acquisitions, larger ones. we looked back, learned, feed it into the system for the next one, I mean, we're always getting better.
Kenneth Zaslow - BMO Capital Markets U.S.: So it really wasn't an inflection point over the last couple of months. There's nothing that significantly, it's an evolution that's changed? Or is there -- I'm just trying to figure out because the last company had said they changed their processes, three months later, they bought National Starch. So I'm just trying to figure out how much of a change has been made.
Patricia Woertz: I think it's been a focus. So I'll call it a change that's stepped us up because it's a focus, and I think it's a focus for a greater number of leaders, yes.
Operator: Your next question comes from the line of Christina McGlone of Deutsche Bank.
Christina McGlone - Deutsche Bank AG: John, I forgot to ask you. Can you talk about how the short rapeseed crop in Europe, what are the implications there? Is it a net negative because of lack of availability? Or will you see maybe more soy products going to Europe and it could be a positive?
John Rice: It will have an effect on the rapeseed crush in Europe. So they will need to import some more protein. There is some talk they will actually import some corn, maybe some more corn byproducts, but it will have an overall protein effect on them. But I think so much still depends on how the wheat harvest comes on what their total needs are going to be.
Christina McGlone - Deutsche Bank AG: And in your terms of your positioning to deal with that, should we think about it as a threat, an opportunity? Like how would you categorize it?
John Rice: We'd like to come in every day and say there's new opportunity.
Christina McGlone - Deutsche Bank AG: And then Pat, the other question I had is there's been talk by Peterson and I think Rose Energy about maybe instead of having an ethanol tax credit, using the funds to actually fund infrastructure build out to use ethanol. I was curious what your stance is on that.
Patricia Woertz: Well, we haven't studied it thoroughly. I think every time you have an opportunity for an innovative idea or using innovation or different ideas are helpful to talk it through. We think support associated with the vetech [ph] [12:37] is important here, and if there are suggestions to get that kind of support in another way around, we'll certainly look at it.
Operator: At this time, there are no further questions in the queue, and I would like to turn the call back over to Pat Woertz, Chairman and CEO for closing. Please proceed, ma'am.
Patricia Woertz: Well, thank you so much for your time, everyone, and all your questions today. As you close out a year, it's sometimes good to take at a moment to reflect, and I'd just like to say bravo to the ADM team and thank you for a very, very good year. We have Slide 18 showing a couple of upcoming investor conferences, and we'll look forward to talking with you in November. Bye now.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a wonderful day.